Operator: Good afternoon and welcome to the Q1 2021 Unitil Earnings Conference Call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time.[Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Todd Diggins, Director of Finance. Please go ahead.
Todd Diggins: Good afternoon and thank you for joining us to discuss Unitil Corporation's First Quarter 2021 Financial Results. Speaking on the call today will be Tom Meissner, Chairman, President and Chief Executive Officer; and Bob Hevert, Senior Vice President, Chief Financial Officer and Treasurer. We will discuss financial and other information on this call. As we mentioned in the press release announcing this call, we have posted information, including a presentation, to the Investors section of our website at www.unitil.com. We will refer to that information during this call. Moving to slide two. The comments made today about future operating results or future events are forward-looking statements under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements inherently involve risks and uncertainties that can cause actual results to differ materially from those predicted. Statements made on this call should be considered together with cautionary statements and other information contained in our most recent annual report on Form 10-K and other documents we have filed with or furnished to the Securities and Exchange Commission. Forward-looking statements speak only as of today, and we assume no obligation to update them. This presentation contains non-GAAP measures. The accompanying supplemental information more fully describes these non-GAAP measures and includes a reconciliation to the nearest GAAP measure. The company believes these non-GAAP measures are useful in evaluating its performance. And with that, I'll now turn the call over to Chairman, President and CEO, Tom Meissner.
Tom Meissner: Thanks, Todd, and good afternoon, everyone. I'm going to begin on slide four. Today, we are pleased to announce net income of $18.9 million or $1.26 per share for the first quarter of 2021. This represents an increase of $3.7 million or $0.24 per share compared to 2020. I'm also pleased to note that on April 2, we filed a strategic multiyear rate plan at our New Hampshire electric utility which, in addition to requesting a base rate increase, includes a number of proposals to support the evolving energy needs of our customers and stakeholders. Bob will discuss the details of this filing later in the call. Looking forward, we're encouraged by signs of economic growth in the states we serve. In fact, as of March, New Hampshire is now home to the two hottest housing markets as well as two of the top 10 emerging housing markets in the nation. Finally, we remain committed to our long-term guidance of 5% to 7% growth in earnings per share. Our first quarter results reflect our on-going operating and regulatory initiatives as well as sustained customer growth that will help us to achieve strong results in the future. Now moving on to slide five. I'll provide an update on some of the latest economic conditions in the areas we serve, which we view with growing optimism. It's hard to believe that the onset of this pandemic was just over a year ago, but I want to again mention how pleased I've been with the dedication, resilience and sheer determination of our employees in responding to this crisis. It's been a trying time, but we're now seeing encouraging signs of an accelerating economic recovery across our service areas. Employment data has improved significantly since the onset of the pandemic. And with the on-going rollout of vaccines, we expect continued improvement in the labor market. To date, over 60% of residents aged 18 and older in the states we serve have received at least one dose of the vaccine, outpacing the vast majority of states. Now in the past, we've also talked about robust construction activity in our service areas. We expect this to continue as permitting of new projects accelerates. Construction employment has now almost fully recovered to pre-pandemic levels in the areas we serve. As you'd expect, here in the Northeast, many of us look forward to the summer season, and I expect this year will be no exception. Much of our service area is along the seacoast, and businesses are expecting a great summer. The New Hampshire governor recently announced that business restrictions, including on retail and restaurants, will be lifted as early as May 7. Given the current outlook, we expect to return to normal within months, if not weeks. Now turning to slide six. On a related note, the pandemic has actually accelerated demand for housing in our service areas. Inventory is now at an all-time low, and prices are on the rise, in turn supporting construction of new residential housing. The number of new building permits issued in Maine and New Hampshire have continued to rise, with the first quarter of 2021 outpacing 2020 which, in turn, had outpaced 2019. We serve communities that are very desirable for both households and businesses. We continue to see the attractiveness of our service areas as important to our growth strategy. Now with that, I'll turn it over to Bob, who will provide further detail on our first quarter results.
Robert Hevert: Thank you, Tom, and good afternoon, everyone. I will begin on slide seven. As Tom noted, this morning, we announced first quarter earnings per share of $1.26. Net income for the quarter increased by $3.7 million or $0.24 per share compared to the same quarter in 2020. Our strong year-over-year earnings growth principally is a result of higher sales margins, which increased as a result of higher distribution rates, colder winter weather and continued customer growth. As you recall, weather in the first quarter of 2020 was historically warm and affected earnings by an estimated $0.20 per share. By comparison, the winter weather in the first quarter of 2021, although somewhat warmer than normal, was significantly colder than the first quarter of 2020. Turning to slide eight. Electric adjusted gross margin for the quarter ended March 31, 2021, was $23.7 million, an increase of $0.6 million or 2.6% over 2020. The increase in electric margin reflects higher residential unit sales of 7.3%, partially offset by lower commercial and industrial unit sales of 4.1%. Customers increased 0.9% over the first quarter of 2020, reflecting a combination of growth in both the residential and commercial customer classes. As Tom noted earlier, our current expectations are that sales volumes will return to pre-pandemic levels by the end of 2021 as our service area economies continue to recover. Turning now to slide nine. For the quarter ended March 31, gas adjusted gross margin was $47.8 million, an increase of $5.4 million or 12.7% compared to 2020. The increase in gas margin reflects higher rates of $3.3 million and the combined net effect of $2.1 million from colder winter weather, customer growth and lower commercial and industrial sales. The first quarter of 2021 was 8.1% colder year-over-year, contributing to higher natural gas therm sales of 6.1%. Higher sales also reflect 1.9% additional customers served compared to the same period in 2020. Similar to the electric division, we anticipate gas sales volumes to return to pre-pandemic levels by the end of 2021. Moving on to slide 10. We provide an earnings bridge comparing 2021 results to 2020 for the quarter. As noted earlier, 2021 gross margin increased $6 million, primarily a result of higher rates, colder winter weather and continued customer growth. Operation and maintenance expenses decreased $0.9 million, primarily attributable to lower labor and professional fees, partially offset by higher utility operating costs. Depreciation and amortization increased by $1.4 million, reflecting higher levels of utility plant in service. Taxes other than income taxes decreased by $0.3 million, primarily due to lower payroll taxes, partially offset by higher local property taxes on higher utility plant in service. Interest expense increased by $0.5 million, reflecting interest on higher long-term debt balances, partially offset by lower rates on lower levels of short-term borrowings. Other expense decreased by $0.2 million, largely due to lower retirement benefit and other costs. Lastly, income taxes increased $1.8 million as a result of higher pre-tax earnings. Turning now to slide 11. Our regulatory agenda continues to be active. Here, we provide our regulatory outlook, highlighting our rate applications in New Hampshire. As Tom mentioned earlier, just over one month ago, we filed a multiyear rate plan in New Hampshire for our electric utility, Unitil Energy Systems. We also plan to file a general rate case in New Hampshire for Northern Utilities, our natural gas utility, in the second half of this year. It is typical in New Hampshire to allow temporary rates that collect a portion of the revenue deficiency prior to receiving a final order. We expect temporary rates will be effective in the second half of 2021 for both Unitil Energy Systems and Northern Utilities. Temporary rates are reconciled to the final rate case award, and the difference is collected or refunded typically over a one year period. The company proposed a full decoupling structure in the Unitil Energy Systems rate case, and we intend to propose a similar structure in the Northern Utilities case. Decoupling removes the effect of weather and changing usage patterns from distribution revenue. If those mechanisms are approved in New Hampshire, as we expect they will be, 82% of all our meters served will be under decoupled rate structures. And in a similar vein, with the multiyear structures contemplated in our New Hampshire filings, over 3/4 of Unitil's consolidated non-growth capital investments from 2021 through 2023 will be covered under tracking mechanisms or multiyear rate plans. Slide 12 provides additional detail regarding our Unitil Energy Systems rate filing. As we stated before, beyond seeking rate relief, this rate application is an important element of our long-term grid modernization strategy. We believe the proposals included in our application support New Hampshire's energy, environmental and regulatory policies and address our customers' evolving energy needs. The proposed base distribution rate increase is approximately $12 million, largely driven by unrecovered costs associated with capital investments not yet included in distribution rates. The increase is supported by a proposed return on equity of 10% and an equity ratio of 52.9%. We have proposed temporary rates of $5.8 million to become effective June 1, 2021. As noted earlier, temporary rates will be subject to recoupment or refund based on a reconciliation of the temporary and final rate awards. Our application also includes a series of three step adjustments comparable to previously approved rate plans to recover costs associated with non-growth-related capital investments for the calendar years 2021, 2022 and 2023. We estimate that non-growth capital represents over 80% of our investments in our New Hampshire electric operations during that three year period. To support our customers' ability to adopt electric vehicles and better manage their energy costs, we have proposed a suite of time-varying rates, including rates applicable to electric vehicle charging and an investment plan to support the development of charging stations across our service areas. As the docket progresses, we will continue to provide updates in our quarterly calls. Moving to slide 13. Last quarter, we provided our projected five year capital investment plan, which totals approximately $725 million. This investment plan, which remains in place, supports our stated long-term rate base growth expectations of 6.5% to 8.5%. Our planned capital investments will ensure the safety and reliability of our existing distribution system, enable system growth, advance our grid modernization initiatives and enhance customer experience. There remains potential upside revisions to this projection for electric vehicles, additional grid advancement and supply side projects. We expect about 3/5 of our capital investment will be funded with cash flow from operations less dividends. The remainder will be funded through a combination of debt and equity in a way that supports the company's balance sheet and credit metrics. We continue to target a long-term dividend payout ratio range of 55% to 65%, enabling earnings reinvestment and reducing external financing requirements. And with that, I will turn it back over to Tom.
Tom Meissner: Thanks Bob. Now wrapping up with slide 14. With the first quarter of 2021 behind us, we're pleased with the company's results as well as the broader economic recovery. The foundation of our business is strong, and we view the future with increasing optimism. Unitil offers long-term sustainable shareholder growth, paired with an attractive dividend and robust investment opportunities. As I mentioned earlier, we expect long-term EPS growth of 5% to 7%, with near-term earnings growth likely at the higher end of the long-term range relative to our 2020 earnings. Thank you for your participation today. And with that, I'll turn it back to you, Todd.
Todd Diggins: Great. Thanks, Tom. That wraps up the material in this call. Thank you for attending. I will now turn the call over to the operator, who will coordinate questions.
Operator: Thank you, Todd.[Operator Instructions] Your first question comes from the line of Michael Gaugler with Janney Montgomery.
Michael Gaugler: Good afternoon, everyone.
Robert Hevert: Hi, Mike.
Tom Meissner: Hi, Mike.
Michael Gaugler: So given your housing market, just wondering what your organic growth outlook is going out, let's say, for the next few years?
Robert Hevert: Yes. Mike, this is Bob Hevert. We're looking at the housing market, and we do think it's very hot. As Tom mentioned, we have in New Hampshire, two of the hottest and emerging housing markets in the country. Now as we're looking at organic growth going forward, we think we're retaining our existing projections. So we're not really extrapolating what we're seeing right now, Mike, going forward. But that said, as we mentioned earlier, we do see some potential upside in the capital investment plan for issues such as grid modernization, electric vehicles, and there could be also upside potential in the investment plan relating to customer growth. So as for now, we are maintaining our growth targets, which manifest themselves in the 6.5% to 8.5% rate base growth. But we certainly do see potential upside, and we'll keep an eye on that as we go forward.
Michael Gaugler: All right, so I had. Gentlemen, thank you.
Robert Hevert: Thank you, Mike.
Operator: [Operator Instructions] Your next question comes from the line of Shelby Tucker with RBC Capital Markets.
Shelby Tucker: Good afternoon. On your rate case for New Hampshire, can you remind me if there is a precedence of multiyear decisions?
Robert Hevert: Hey Shelby, it's Bob Hevert. Yes, there is. The last two cases that we filed in New Hampshire, both had multiyear plans, both three years in duration, and both were very comparable to what we've proposed here in terms of the step adjustments reflecting non-growth related capital investments. So yes, there is precedent. And we did try to follow that precedent quite closely as we developed our filing in this case.
Shelby Tucker: Got it. And then picking up on Mike's question. If there's a change in pace of build-out, are there adjustments that can be made to the multiyear plan? Or are you kind of -- you're positioned that way going for the next three years?
Robert Hevert: No. That's a great question. No, we -- each year, Shelby, we will propose the step adjustment. And we are not bound by what we expect right now. And in fact, in our current filing, the step adjustments we show are effectively illustrative. They're our best estimate of what the adjustments will be going forward 1, two and three years, but they're not definitive. And as those years come up, as we make those filings, we certainly would reflect the conditions at the time.
Shelby Tucker: Got it. Okay, thank you very much.
Robert Hevert: Thank you.
Operator: [Operator Instructions]